Operator: Good day, ladies and gentlemen, and welcome to your La-Z-Boy Fiscal 2019 Third Quarter Results Conference Call. All lines have been placed in a listen-only mode, and the floor will be open for your questions and comments following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host Kathy Liebmann. Ma'am, the floor is yours.
Kathy Liebmann: Thank you, Christi. Good morning and thank you for joining us to discuss our fiscal 2019 third quarter results. With us today are Kurt Darrow, La-Z-Boy's Chairman, President and CEO; and Melinda Whittington, Senior Vice President and CFO. Kurt will open and close the call, and Melinda will speak to the financials midway through. We will then open the call to questions. Slides will accompany this presentation, and you may view them through our webcast link, which will be available for one year. And a telephone replay of the call will be available for one week, beginning this afternoon. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call. So, I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgments of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning, everyone. Yesterday afternoon, we reported our fiscal 2019 third quarter results. Consolidated sales increased 13%, reflecting solid growth across the entire enterprise, including the base businesses and those recently acquired. We also grew consolidated operating income on a GAAP and non-GAAP basis with all three segments posting improved performance. EPS for the quarter was the highest in any third quarter in more than a decade and the company-owned retail segment turned in a delivered same-store increase of plus 6.7%, and doubled its operating income. Additionally, we generated strong operating cash during the period, which provides us with the ability to continue to make strategic investments in the business to drive growth. A good quarter overall, highlighting our strong portfolio of brands, our vast distribution network, our global supply chain, and a very solid balance sheet. I'll now take a few minutes to review each business. First, Upholstery, sales in this segment increased 4.2% from last year's third quarter, driven by improvements in mix, selling prices, and the surcharge pass-throughs for tariffs, which I'll discuss in more detail in a few minutes. Operating margin was 10.3% on a GAAP basis, and non-GAAP basis up from last year's third quarter, GAAP operating margin of 9.9% and non-GAAP of 9.7%. While there were a number of puts and takes that impacted operating margin for the quarter, we continue to turn in top quartile operating margins in our industry. During the period, inflationary pressures throughout our supply chain and a shift in product mix were offset by higher selling prices and a one-time impact of a redesign of our employee benefit programs, which Melinda will discuss in her remarks. As a reminder, last year's third quarter also included a charge for a legal settlement. On the product side, Duo, our unique power collection maintains its popularity with consumers and is selling well. Additionally, the re-imagined Urban Attitudes collection, which features a curated collection of coordinated iClean fabrics, is continuing to gain momentum. We will launch our second commercial for the Urban Attitudes collection this month, and look forward to kicking off a new marketing campaign featuring Kristen Bell as our new brand ambassador. We have produced a library of work, and it will be activated across all La-Z-Boy consumer touch points beginning in the spring. We also have the upcoming April High Point Market, where we will have some exciting new product introductions to unveil. Now moving on to retail, our company-owned retail segment turned in an outstanding quarter with our team executing at a high level, and consumers responding favorably to our product and service offerings. And what is typically the strongest quarter for our retail business, sales [technical difficulty] is 26.7%, delivered same-store sales increased 6.7%, and the operating income doubled versus the prior year. On a GAAP basis, operating margin improved to 8.9% from 5.6%, and on a non-GAAP basis, operating margin increased to 9.1% from 5.7%. We are very pleased with the performance of the retail business, and we'll note that excluding all of the Arizona results, which include purchase accounting and its operating profit, the core retail business sales and operating margin increased driven by higher design sales, custom orders, and the fixed cost leverage stemming from improved volume. Performance for the period was also driven by sales of $24 million from the ten acquired stores in the third quarter, nine of which are in Arizona. The Arizona stores have higher volume, experienced a higher operating margin, and have lower SG&A as a percent of sales than the average of our remaining retail portfolio. Written same-store sales for the 352 La-Z-Boy Furniture Galleries was down by less than 1% for the quarter, and importantly for calendar year 2018, written same-store sales across the network increased 3.2%. While we were disappointed that the network did not post a positive written same-store comp for the quarter, we do not see a general trend indicating a business slowdown. Calendar 2019 has started with disruptions from weather; most notably, the polar vortex as well as all the storms and rains in the West Coast. We were pleased however with the performance of the company-owned stores over this recent Presidents' Day weekend. At this time, that is the only data point we have as information from our independent dealers comes in after month's end. We will continue to invest in our furniture gallery store system, is that is where we have the best opportunity to showcase the full array of our product offerings while providing the consumer with an excellent shopping experience. The stores also afford us the opportunity to sell full room groups and design services, which expand the average ticket. Across the network for fiscal 2019, we expect to execute 20 projects, including new stores, remodels, and relocations. We will plan to end the year with three net new stores bringing the total to 353. Now let me turn to our Casegoods business. Sales for fiscal 2019 third quarter was $28 million, up 3% from the prior year period. Operating margin increased 11.9%, versus 10.3% last year, with operating margins for the segment averaging double-digits year to date and for fiscal 2018. High level performance for the Casegoods segment is being driven by great product collections that are resonating with today's customer. Additionally, our team is providing excellent service to retailers through high in-stock positions and quick shipping times, which has allowed us to expand our space at various retail floors. Now let's turn to Joybird, the e-commerce business we acquired this past summer. For those of you who may be new to our story, Joybird is a direct-to-consumer manufacture of upholstered furniture that sells exclusively online. Joybird's mid-century modern furniture appeals primarily to millennials and Gen-Xers providing us with a demographic not typically reached with the La-Z-Boy brand. We are pleased with our rapid growth of -- that Joybird continues to exhibit, and we see great potential for this business. With sales of $19 million for the third quarter, Joybird is trending to be on an annual run rate of $75 million to $80 million, up from $55 million annual run rate when we acquired the business. Additionally, we are beginning to leverage the La-Z-Boy supply chain in multiple ways. First, our team has recommended product flow and equipment changes in the Joybird Tijuana plant, and as a result, it is on pace to almost doubling its production capacity. Second, we are leveraging enterprise-wide La-Z-Boy buying power to procure raw materials at a more competitive rate. Thirdly, we have piloted production for Joybird's more popular styles at our Dayton, Tennessee facility and we'll begin to complement Joybird production capabilities in the fourth quarter. And fourth we will lower Joybird's shipping cost by utilizing our national distribution capabilities. Net on a non-GAAP basis, we expect Joybird to begin contributing to our bottom line profits next fiscal year. As we noted last quarter we believe Joybird can be a several hundred million dollar revenue business and we're willing to invest in this brand as well as the Joybird leadership team to drive growth for the La-Z-Boy enterprise. And finally before turning the call over to Melinda I'll take a few minutes to address tariffs. As we noted last quarter for La-Z-Boy, we believe we have a strategic advantage in the marketplace based on our U.S. upholstery manufacturing footprint and the structure of our global supply chain with respect to procurement. In September a 10% tariff was implemented on goods coming from China, which impacted several items we source for our manufacturing operations including cover for our upholstered product. However, for La-Z-Boy two-thirds of our cut-and-sew kits come from our Mexico-based facility and are not subject to the tariff. This leaves just one-third of the kits subject to the tariff along with actuators which is a component part used in our power product for which a tariff was implemented last June. We are passing on the combined tariffs through a surcharge on our wholesale business that increased our prices roughly 2% on our upholstery business and about 3% on our upholstered units with power. Thus far with the initial tariff pass-through, we have not seen much change in consumer buying habits. However, should the tariffs on goods from China go up to 25% in March, this would translate to a roughly 6% to 7% increase in pricing and combined with several other price increases over the past 18 months to offset raw material costs, it does remain a question as to whether or not we will see an impact to demand elasticity. We do believe we are more competitively positioned than many if not most in the industry due to our domestic footprint and our supply chain structure. Turning to Canada, where we have a retaliatory tariff of 10% being fully passed through on full finished good prices we are seeing some volume erosion. On top of the tariff, previous raw material increases over the past year and with the Canadian currency not in their favors, consumers are looking at furniture that could be as much as 15% to 20% more expensive than the previous year. I will now turn our call over Melinda to review our financials in detail.
Melinda Whittington: Thanks, Kurt, and good morning everyone. To start, let me remind you all that last quarter we began presenting our results on both a GAAP and a non-GAAP basis which excludes purchase accounting adjustments required by GAAP for acquisitions. We believe this will better help you understand business trends and performance of the core underlying businesses. In fiscal 2019, we acquired Joybird, which is reflected in corporate and other and 10 La-Z-Boy furniture gallery stores, nine in Arizona and one in Massachusetts reflected in our retail segment. These make up the majority of our current year purchase accounting adjustments. For consistency, we have adjusted prior periods similarly for the impact of prior acquisitions. For this year's third quarter, we recorded $1.5 million or $0.02 per share and purchase accounting charges slightly below our previous estimate of $0.03 to $0.04 per share. As a reminder the current year purchase accounting adjustments are primarily composed of four items. The amortization of $7.5 million of the initial payment for Joybird which for accounting purposes is considered compensation expense and is amortized over two years, the amortization of the fair value of the Joybird trade name, which will be amortized over an eight year useful life. Minor interest expense over a five year period on the $25 million of future guaranteed payments and the incremental expense recognized upon the sale of inventory acquired at fair value which we recognized over several quarters as it fell through. We expect purchase accounting adjustments for Q4 to be in the range of $0.03 to $0.04 per share bringing total impact on the year to $0.11 to $0.12. Going forward, in addition to these items we may also have impacts to our GAAP earnings for changes in the fair value of the Joybird contingent consideration liability. Recall there were two future earn-out opportunities based on Joybird's financial performance in fiscal 2021 and 2023. The range of contingent consideration is zero to $65 million and therefore the quarterly valuation of this obligation could vary widely depending on Joybird's financial success over the next five years. Finally a reminder that all of our purchase accounting estimates are preliminary and subject to change within the first 12 months of the acquisitions under U.S. GAAP. A full reconciliation of GAAP to non-GAAP is included at the back of our press release. The tables are also included in the appendix section at the end of our conference call slides. As Kurt noted earlier we're pleased with the operating performance of both Joybird and the Arizona stores and they are on track to meet our internal expectations for the balance of the year and we continue to expect the combined entities to be slightly accretive to non-GAAP earnings by the end of this fiscal. And now I'll review our consolidated operating results for the third quarter. Sales increased 13% versus the prior quarter to $468 million. GAAP consolidated income increased to $41 million. Excluding purchase accounting charges, non-GAAP consolidated operating income was $42 million versus $33 million in last year's quarter. Consolidated operating margin on a GAAP basis was 8.7% versus 8% last year and non-GAAP consolidated margin was 9% versus 7.9% last year. GAAP earnings per diluted share for the fiscal 2019 third quarter were $0.61 versus $0.25 in the prior year period. Non-GAAP EPS was $0.63 per diluted share in the current year quarter versus $0.25 in last year's third quarter. Effecting comparability, this year's third quarter includes higher incentive compensation cost of $0.10 per share which we have discussed in the past. This was partially offset by a $0.07 per share one-time benefit for a redesign of our employee benefits programs, which I'll discuss further in just a moment. And as a reminder, the fiscal 2018 third quarter included a $0.20 per share net charge related to tax reform and a $0.06 per share charge for a legal settlement. On a consolidated GAAP gross margin -- our consolidated GAAP gross margin increased to 130 basis points on the third quarter of fiscal 2019 versus last year's third quarter and non-GAAP gross margin increased 140 basis points. The majority of the gross margin increase was due to changes in our consolidated business mix driven by the growth of our retail segment and the contribution from Joybird, both of which carry a higher gross margin than our wholesale businesses. However, this benefit is more than offset with higher SG&A levels for these businesses. Looking at gross margin by segment, we experienced a decline in Upholstery due to inflationary pressures on our supply chain and changes to our product mix which were offset somewhat by higher selling prices. Gross margin improved in our Casegoods segment primarily driven by increased volume and a shift in product mix and our Retail segments gross margin increased for the period primarily due to acquired stores, they have slightly higher margins than our average stores as well as increased design in custom order sales in our core businesses. Moving on to SG&A, GAAP SG&A as a percent of sales increased 60 basis points in the third quarter of fiscal 2019 compared with the prior year period. Non-GAAP SG&A increased 30 basis points, adjusted for acquisition related costs for Joybird, that are classified as compensation expense. Changes to our consolidated business mix increased SG&A by 270 basis points. This reflects the growth of our retail business and the acquisition of Joybird both of which carry a higher level of SG&A as a percent of sales versus our wholesale business, and it is therefore also indicative of future SG&A run rate. In addition, incentive compensation costs as a percentage of sales were 120 basis points higher than the prior year quarter due to our improved financial performance against targets and a change in the vesting provisions of certain equity awards as we've discussed in prior quarters. We had previously estimated incentive compensation charges to be roughly $0.08 per share higher per quarter against last year. For this quarter, these costs were $0.10 per share higher than last year slightly more than our previous estimates primarily due to our improved performance against targets during the third quarter. Offsetting the higher risk SG&A expense for the quarter was a onetime benefit of 80 basis points that relates to employee benefits program. During the quarter, we announced the redesign of several of our employee benefits to better align with the market in which we compete for talent. This resulted in a one-time 80 basis points or $0.07 per share benefit in the current quarter. As we complete this transition, we expect to incur a $0.03 per share charge related to these changes in Q4 which will then settle out to our run rate in fiscal 2020 more consistent with our historical expense levels. Additionally, SG&A as a percent of sales in the current quarter benefited from the leverage of fixed costs on higher sales volume particularly in our retail segment which delivered a record high operating margin for the quarter on record high sales, and finally, a reminder that last year's third quarter SG&A was impacted by 100 basis points resulting from the legal settlement. In summary, GAAP operating margin increased 70 basis points from the above items impacting gross margin and SG&A which included the net 110-basis point negative impact of consolidated mix and operating margin reflecting the growth of our retail segment and addition of Joybird. Our effective tax rate for the third quarter of fiscal 2019 was 26.9% compared with 62% in the third quarter of fiscal 2018, with both periods reflecting the impact of tax reform. The effective tax rate was much higher in last year's third quarter due to the phasing in of the lower corporate income tax rate resulting in a blended federal rate of 30.4% as compared with 21% for fiscal 2019. And the one-time revaluation of deferred taxes at the lower corporate income tax rate in fiscal 2018. Our effective tax rate varies from the 21% statutory rate primarily due to state taxes. Absent discrete adjustments, the effective tax rate in the third quarter of fiscal 2019 would have been 26.7%. This quarter's rate was up slightly from last quarter due to certain non-deductible expenses related to compensation. For the year, we continue to estimate our tax rate to be in the 25% to 26% range excluding discrete item. Turning to the balance sheet, during the quarter, we generated $45 million in cash from operating activities. We ended the third quarter of fiscal 2019 with $102 million in cash and cash equivalents, $32 million in investments to enhance returns on our cash and $2 million in restricted cash. During the quarter, we invested $9 million in capital primarily related to our new innovation center in Dayton, Tennessee, upgrades to our Dayton manufacturing facility and the expansion of the England plant and construction of its new corporate office building. For the full fiscal year, we continue to expect capital expenditures to be in the range of $45 million to $50 million. During the year, we paid $6 million in dividends -- during the quarter, I'm sorry, we paid $6 million in dividends and spent $5 million purchasing 200,000 shares of stock in the open market under our existing authorized share repurchase program which leaves 6.1 million shares of purchase availability under that authorization. We also repaid $50 million in borrowings under our revolving line of credit leaving $20 million outstanding. Our capital allocation priorities remain to invest in the business to drive growth and then, provide returns to shareholders with our dividends and discretionary share buyback. Finally, as we look to the fourth quarter, I'd like to recap for modeling purposes the items affecting comparability. Last year's fourth quarter included a $0.06 per share benefit related to tax reform. For the upcoming fourth quarter, we continue to anticipate purchase accounting charges to be between $0.03 to $0.04 cents per share and these items will be adjusted in our non-GAAP numbers. We also expect approximately $0.08 per share and higher incentive compensation costs consistent with our discussions in the prior two quarters. Within SG&A changes to our consolidated business mix with retail growing and the acquisition of Joybird will drive an approximate 250 basis points to 300 basis points increased against last year's fourth quarter consistent with what we've seen in this third quarter. Related to the redesign of our employee benefits, as I noted a few moments ago, we expect to incur a charge of $0.03 per share. In addition, as part of this employee benefits redesign, we plan to terminate our defined benefit pension plan for eligible factory hourly employees in Q4. We expect to settle any future obligations under the plan through a combination of lump sum payments to eligible participants who elect to receive them and through the purchase of annuity contract. In connection with this, we expect to make between $9 million and $11 million in additional cash contributions to the plan using operating cash on hand and we estimate that we will record approximately $33 million to $38 million of total non-cash charges net of tax or $0.70 to $0.81 per share related to the planned termination. We plan to adjust for these pensions termination charges in our non-GAAP reporting. And now, I'll turn the call back to Kurt for his concluding remarks.
Kurt Darrow: Thank you, Melinda. Overall, we are pleased with the strategic direction of our business and the opportunity for long-term success. Looking at Q4, rather record-breaking weather trends have driven the slower start and questions with respect to a potential increase in tariffs. However we have a very solid foundation in place to grow our business. With the strongest brand in the industry, a world class supply chain, a vast distribution network, and the addition of Joybird with a strong financial position, we have all the components effectively to canvas the marketplace and increase our share in the growing consumer segments. We thank you for your interest in La-Z-Boy Incorporated and I will turn over the call to Kathy to provide the instructions for getting into the queue. Kathy?
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Christi, please review the instructions for getting into the queue to ask questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And we'll take our first question from Bobby Griffin with Raymond James.
Bobby Griffin: Good morning everybody, thank you for taking my questions.
Melinda Whittington: Good morning.
Bobby Griffin: First I want to talk about the delivered comps in the quarter in the company-owned retail segment. It's been a nice shift in trends there over the last couple of quarters with greater than 4% comps. Kurt, can you maybe just expand upon some of the initiatives that are going on the stores to drive the improved performance?
Kurt Darrow: Well, good morning, Bobby. I would tell you that our team is, I'm so proud of them and they are executing at a very high level. There's not a lot of secrets at retail when the sales people read [ph] the customer and move forward with the purchase pathway. It's all about gaining trust and listening, and our ability to do more in home design work, our ability to sell higher tickets, our ability to sell rooms, all that is playing in our favor. And in addition, the conversion that we have in that -- the number of people who were closing versus who walks-in is slightly improving. So there was no one time silver bullet, there is no -- secrets here other than a number of years of putting together a plan that would lead to this kind of result getting a leadership in all of our regions and all of our stores, and we're very pleased, and obviously we can't ignore the impact that Arizona has made, but I want to be clear that the base business performed at a very high level, and given the reports that have been out in the industry from a lot of our competitors in the last 30 or 45 days, a nearly 7% comp is a pretty stellar achievement.
Bobby Griffin: Absolutely, I appreciate that detail. Has there been any notable change in traffic trends, or is it more just better conversion and a better mix of the design services? And then maybe can you just refresh us now for your company-owned stores what percentage of sales are design in custom sales?
Kurt Darrow: So, I would say that our traffic is still slightly down, but not nearly as down as much as it was a couple of years ago. So hopefully, we've reached a plateau and traffic will -- I think encouragingly though our traffic particularly in the big holidays has been positive, and that's where we've been able to capitalize on that, but our design business in the home is above 30% and much higher than that in Arizona. And our custom business, I think if you would add the two, Bobby, it would probably be pushing 50%. Now the custom business, just to be clear, could be a different color on a recliner, and it doesn't really connotate [ph] a room purchase and all, but the fact that we have domestic manufacturing and we can get product to the customer fast, we do a lot of custom business on other colors of a pattern that the customer likes.
Bobby Griffin: All right. And then lastly for me, just can you maybe help us from a modeling standpoint, understand, I guess the future timing and impact from the ongoing price increases from raw materials and then the tariff aspect? Is the 2% benefit that was caught out in the 10-Q from tariffs this quarter something that we should assume going forward for the next couple of quarters and kind of same type question for the raw material type pricing benefits?
Kurt Darrow: Well, you have to tell us what's going to happen with tariffs, so I can answer that question. So Bobby, I don't have the exact numbers. And each of these in isolation is not in our opinion, that hard to overcome, but you had 18 months of raw materials going up. And at one point, steel, poly, lumber were all, at all-time highs. We see that plateauing and maybe starting to come down a little bit, but if there's a -- I read last night there could be another delay before decisions made on tariffs, so if that -- if there's a stay for 90 days or 120 days to get us to the summer that same 2% and 3% would be going -- would be on our pricing going forward, and in reverse, the same tariffs would stay in place from Canada from product going into Canada until some resolution of this has come to.
Bobby Griffin: Okay. That's helpful from a modeling standpoint. I appreciate the time and the details, and best of luck going forward.
Kurt Darrow: Thank you, Bobbie.
Operator: And our next question comes from Brad Thomas with KeyBanc Capital.
Brad Thomas: Yes. Good morning, Kurt, Melinda, and Kathy, and congratulations on a strong quarter here.
Melinda Whittington: Thank you.
Kurt Darrow: Thank you.
Brad Thomas: Okay. I wanted to follow-up on the comments about the recent trends. If I heard you right I think you said that the written same-store sales was up -- sorry, was down 3.2%, and I was wondering if you add any more color around the trends by month just so we get a better sense of how much might have been that difficult weather in January. And then I guess as you think about written same-store sales would in anticipation of tariffs have affected the orders and pulled forward new orders in the earlier periods, I guess how should we think about that?
Kurt Darrow: So, the easy one is the tariffs. I don't think there was any pull forward. It's not significant enough to hedge in the fact that it could stay in effect for who knows how long. We did not really see any of that. As far as the same-store sales, Brad, just to be clear, we were down -- the system was down a little less than 1% like 0.6% in written for November, December, January and the only month that was negative was January. So given the weather, given some other things and I'm not using weather as an excuse, because we have it all the time, but that did affect January. You mentioned the number of 3.2% that was our same-store sales increase for the network in calendar year '18. So our sales were slightly…
Brad Thomas: Got you.
Kurt Darrow: -- our same-store sales were slightly up in November, December, and down a few points in January. So there was a deceleration at the end of the quarter but we don't think it's systemic and we're glad the bad weather is coming today across the U.S. instead of Presidents' weekend.
Brad Thomas: Got you, got you. Okay. And then, just to follow-up on the new marketing campaign with Kristen Bell from a cost perspective anything we should be aware of as we think about lumpiness of expenses associated with that new advertising? And then from a benefit perspective, when would you expect to hopefully see a lift from this new campaign?
Kurt Darrow: Very good question, Brad, what we are planning to do is similar to what we did when we launched our first spokesperson with Brooke. In the initial launch both ourselves and with our dealer participation, we will spend somewhat more money on the launch than we would do in a normal, but it will average out as we go through a 12 or 18 month period. But we do put some additional media weight behind the launch to get that message out. And our hope for this is that Kristen speaks to a little bit different audience than Brooke, and is a fresh face and a different point of view, and we think that the brand can use that and we had a very long and prosperous run with Brooke and we were grateful for that but felt it was time for a change and think she's going to bring a new perspective to the brand.
Brad Thomas: Great, thank you, Kurt.
Kurt Darrow: You're welcome.
Operator: And our next question comes from Anthony Lebiedzinski from Sidoti.
Anthony Lebiedzinski: Yes. Good morning and thank you for taking the question. So I just wanted to follow-up on the previous question in regards to the design program and custom orders. Can you give us a sense as to how that was about a year ago, so just so we know how that's growing so far for you?
Kurt Darrow: And I cannot off the top my head, when you have your follow-up conversations with the team you can -- they can look into that detail, but it has steadily grown. I can tell you that, and that and the size of the tickets that we're doing is also increasing, but I want everybody to be focused on, that the economics behind all of this is great. But when we do an in-home design room with a customer the odds of her being a much more satisfied customer and coming back and purchasing us from us again and doing another room, that's the greatest benefit for this, was building this customer for life. So the economics come with it but we're trying to build a long-term business here and having that connection with the consumer is fantastic.
Anthony Lebiedzinski: That's very good. Thanks. Thanks for that, Kurt. And you mentioned that Arizona is doing very well for you, which is a continuation from where that business was trending when you acquired it. Can you give us a sense as to whether there are any notable regional differences in the performance for your stores?
Kurt Darrow: The only comment I'd make at that Anthony is, we -- I mentioned in my prepared remarks about the impact that tariffs are having in Canada and so our Canadian stories which for years outperformed the U.S. stores for a number of years. Our Canadian stores are not doing as well as the U.S. stores right now through -- I don't want to do through no fault of their own but the price of their product and their consumers understanding of that has had some challenge. Now again, Canada and the retail side is about 10% of our business so it isn't -- it isn't a devastating number yet but it does from cretins if tariff for us got up to 25% it may have a -- some impact on demand. So then we're watching that very closely, but other than that we don't see a huge differential in the U.S. about sales growth.
Anthony Lebiedzinski: Got it. Okay. And as far as your new innovation center in Dayton Tennessee, what do you expect us -- what should we expect will be the biggest benefits of having that up and running?
Kurt Darrow: I think the first benefit is our ability to attract a lot of new talent and smart people of different points of view. We've given them a great place to work and all the tools that they need. So it is -- that step one without the great people nothing's going to happen. Number two, we should be able to put out a longer and a more robust pipeline of things we do in an innovation side to keep us at the forefront of things changing in the industry. So we've always prided ourselves in the original start of this company was in the innovation of the recliner mechanism. So, lots of things with cushioning, with power, with all kinds of remotes and all. We're investing heavily in that and we want to be a leader in trying to forge our own pathway.
Anthony Lebiedzinski: Okay. Thank you very much and best of luck.
Kurt Darrow: Thank you.
Operator: And our last question comes from Dillard Watt with Otisville [ph].
Dillard Watt: Thanks. To clarify, Dillard Watt from Stifel for the crowd. Maybe let's talk a little bit about Joybird, you spent a good amount of time saying some things about what you've brought over to Joybird from the La-Z-Boy side on the manufacturing and operations. So anything you've learned from Joybird that you're bringing in either be technology, e-commerce tools anything like that that you're starting to use on the integration into the legacy company?
Kurt Darrow: That's a great question, Dillard. When two companies are sort of polar opposites about the way they think about certain things, the first couple of quarters is all been about let's keep the business growing, let's do all the behind-the-scenes things, and we are learning from each other, but we -- frankly, most of the things that La-Z-Boy has brought to the table are not really in place yet. So most of all their growth and all the production that they've had since we were able to help them expand their Tijuana capacity, most of that's been on the Joybird side. So we still have more benefit coming from using our distribution systems and arm our own manufacturing on the eastern side of the U.S. But there are learnings and our two teams are communicating and we have people going back and forth to California and Michigan, collaborating and there's a lot more to come but to call out something specific right now, it's probably a little premature. But that is one of the reasons we brought them and one of the reasons they do some things differently and probably better than we do and we have the same. We do a lot of things better than them, just for the fact that we've been making furniture for 90-plus years. And they've been making furniture for less than five, so there should be some synergies. But the pace of going, we bought them when their run rate was about $55 million. And now in the last two quarters in any case the run rate will be closer to $80 million that's a good first, six to nine months' worth of work by everybody. And as we get more and more of these things in place, we see this for the next couple of years as a percentage, probably our highest growth business.
Dillard Watt: Absolutely, and maybe on the on the consumer demand side, is there anything you can glean either from web traffic, web traffic at Joybird or La-Z-Boy, that gives you a little bit of comfort that perhaps we are just in a bit of a pause or a weather issue with actual traffic into the stores.
Kurt Darrow: Well, there is a correlation between our web traffic and our actual results and our store traffic and - but our web traffic has been pretty stellar. The consumer when she is looking for things isn't anticipating the weather is not going to be very good in a couple of days, so I think most of it if I had to gauge right now is weather related. And even after some day and we had some days during the end of January and so far in February where maybe as many as 30% of our stores were closed for a couple days across the Midwest and the East Coast, but then two days after the weather, the business bounce back -- bounces back. So the consumer really wants something and the weather comes, she still needs to do something with her with her house or with her room and so we don't see that being a long-term problem. So right now and again based on what our own retail did for Presidents Day weekend there's a degree of optimism. However, you never really make up the days that you were closed. So that does have some effect on the run rate in the business in the short-term.
Dillard Watt: Great. Thank you very much.
Kurt Darrow: Thank you, Dillard.
Operator: [Operator Instructions] And there appear to be no further questions at this time.
Kathy Liebmann: Okay. Thank you very much everyone for participating in this morning's call. If you have any follow-up questions, please get in touch with me. Have a great day.
Kurt Darrow: Thank you.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.